Operator: Thank you for standing by and welcome to ContextLogic First Quarter 2024 Earnings Conference Call. During the program today, all participants are in a listen-only mode. As a reminder, today's program is being recorded. And now, I'd now like to introduce your host for today's program Ralph Fong, Director of Investor Relations.
Ralph Fong: Thanks Jonathan. Good afternoon everyone and welcome to ContextLogic's first quarter 2024 update conference call. I am Ralph Fong, Director of Investor Relations, and providing remarks on the call today are Chairman -- Chairperson and CEO; Rishi Bajaj; and our CFO, Brett Just. The remarks made today may include forward-looking statements, including with respect to the recent asset sale to Q10 and related matters The remarks made today may include forward-looking statements, including with respect to the recent asset sale to Qoo10 and related matters. Our actual results may differ materially from the results implied by these forward-looking statements as certain risks materialize or assumptions prove incorrect. Forward-looking statements are based on our current expectations and assumptions and involve risks and uncertainties that could cause actual results or events to be materially different from those anticipated. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are and will be contained from time-to-time in our SEC filings, including on Forms 10-Q, 10-K, and 8-K. Any forward-looking statements that we make today are only as of today's date, and we undertake no obligation to update or revise any such statements as a result of new information, future events, or otherwise. Also, please keep in mind that included in the financial statements and management's prepared remarks during the call are both GAAP and non-GAAP financial numbers and metrics. A reconciliation of non-GAAP to GAAP results is included in today's earnings release, which you can find on our Investor Relations' website and which is also filed with the SEC. A replay of this call will be posted to our Investor Relations' website. With that, let me now turn the call over to our CFO, Brett Just, to provide a financial overview. Brett?
Brett Just: Thank you, Ralph. For this quarter, our financial presentation will be a little different. Our earnings press release describes our earnings for the first quarter. And if you want additional details, I encourage you to review that release. However, all of the revenues and earnings disclosed in that release were generated by assets that we no longer own. Qoo10 now owns those assets. Significantly, Qoo10 also has assumed substantially all of the liabilities associated with those assets. So, instead of discussing historical results, I thought it would be more helpful to talk about our financial picture today. After the asset sale to Qoo10 closed on April 19th, ContextLogic had approximately $2.7 billion of NOL carryforwards and approximately $161 million in cash, cash equivalents and marketable securities, which consist of government securities. Combined, this represents the net proceeds from the sale. We have no debt. We have gone from nearly 500 employees worldwide at December 31st to 12 full-time and part-time employees, including some temporary or contract employees. We are no longer liable for any of our old leases, including our former corporate headquarters in San Francisco. We have moved across the bank and are now leasing a small space in Oakland with our workforce totally remote. So, we are starting our next chapter on strong financial footing, which is intended to give us flexibility to pursue strategic transactions that will utilize our assets. For additional information on that important topic, I will now turn the call over to ContextLogic's Chairperson and CEO, Rishi Bajaj.
Rishi Bajaj: Thank you, Brett. I would like to thank everyone for joining our first quarter 2024 update call. First and foremost, we are pleased to have completed the previously announced sale of the Wish e-commerce platform to Qoo10. On behalf of the entire ContextLogic team, I would like to thank our stockholders for their support of this value-maximizing transaction. I would also like to thank our employees for their hard work and dedication. With the transaction now behind us, we are excited to start this new chapter. We have begun reviewing strategic opportunities for the use of our post-closing cash. Looking ahead, our reconstituted Board, along with our management team, will develop a process and procedure for evaluating alternatives for the use of our post-closing cash and reviewing, identifying, and executing strategic opportunities for the benefit of ContextLogic and its stockholders. Furthermore, as Brett noted, our overhead is very small. Simply put, we expect ContextLogic to have low operating expenses and significant opportunities for value creation. I'm energized by the opportunities ahead of us. We have the right strategy in place and an outstanding new leadership team to implement it. In sum, we have turned the page to begin a new chapter in the life of the company. We're excited about our future, and we look forward to updating you on our progress in a few months. Again, thank you very much for joining us today, and good bye.
End of Q&A: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.